Operator: Good morning, and welcome to the Bunge Limited's Third Quarter 2018 Earnings Release and Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Mark Haden, Investor Relations. Please go ahead.
Mark Haden - Bunge Ltd.: Great. Thank you, operator, and thank you everyone for joining us this morning. Before we get started, I want to inform you that we have prepared a slide presentation to accompany our discussion. It can be found in the Investors section of our website at bunge.com under Investor Presentations. Reconciliations of non-GAAP measures disclosed verbally on this conference call to the most directly comparable GAAP financial measure are posted on our website in the Investors section. I'd like to direct you to slide 2, and remind you that today's presentation includes forward-looking statements that reflect Bunge's current views with respect to future events, financial performance, and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation, and encourages you to review these factors. Participating on the call this morning are Soren Schroder, Chief Executive Officer; and Thom Boehlert, Chief Financial Officer. I'll now turn the call over to Soren.
Soren W. Schroder - Bunge Ltd.: Thank you, Mark. Bunge delivered a strong quarter which puts us on track for a very good year and growth beyond. Agribusiness results were led by soy crush, which executed margins in the $50 per ton range, and new mark-to-market gains were approximately $155 million. Origination in Brazil picked up with the weakening of the real and the quarter leading to higher than expected earnings in grains. Our team navigated really well through a complicated market environment and is making sure we monetize the physical position in soybeans we built during the second quarter. Crushing results should remain favorable for the balance of the year and into 2019. However, low commodity prices and the stronger Brazilian real, along with the unsettled Brazilian freight situation is adding uncertainty to origination volume. That said, we remain optimistic that we will finish the year in the upper half of the $800 million to $1 billion outlook range previously established. Agribusiness returns are expected to be well above cost of capital led by soy crushing. Our milling results were strong and we're on track to finish the year with a significant improvement over last year. While South American wheat supplies are rebuilding, early Indications are that quality of this year Brazilian wheat crop is poor, which will lead to increased imports and sets us up for another good year in 2019. Milling returns will also be well above cost of capital. Since the beginning of the year, our retail packaged oil business in Brazil and refining operations in the U.S. have struggled due to an oversupply of oil resulting from the favorable crushing environment. This trend is now reversing as oil supplies are tightening, giving us increased confidence in a strong finish to the year. We are very pleased with the integration and underlying performance of Bunge Loders Croklaan. As discussed in our first quarter earnings, upon closing the transaction, we increased the value of IP and customer relationships, which cost a total depreciation and amortization to increase to approximately $70 million per year. And during the third quarter, palm oil prices decreased leading to an approximate $10 million negative impact from the re-evaluation of raw material supply contracts, which will largely reverse as sales are executed. The combination of these two factors is why Loders Croklaan business is not providing a more immediate contribution to earnings. Going forward, however, we expect a strong fourth quarter from this business and a big step-up in contribution next year as we realize synergies from the integration. We now have one face to our customers, which is helping us win new business, and synergies are flowing as expected. The three major market channels are showing value growth above 10% year-over-year, and the new industrial facilities in Ghana and China are nearing completion. We're convinced that the complete Edible Oils platform we have created together will drive significant earnings growth over the next years. Returns in Edible Oils this year are expected to be below cost of capital due to the addition of Loders Croklaan. However, we expect to be above cost of capital in 2019 as we realize earnings growth and synergies. In Sugar & Bioenergy, we completed the sale of our international sugar trading and distribution business. Results in sugar milling are being negatively affected by a perfect storm in Brazil, of drought followed by excess rains, which has reduced crush and sucrose content in the cane. As a result of lower production and higher unit costs, we are, therefore reducing our milling forecast to slightly below breakeven. Yet, cash flow is still expected to be positive for the year. We continue to make operational improvements to the business, while also maintaining the high quality of our cane. The business is in a much better position to manage tough market conditions than it was just a few years ago, it is a highly attractive asset when looking beyond the current business cycle. As Thom will discuss in greater detail, we are very happy with the progress made on our cost and restructuring efforts. We now expect that $135 million of savings will accumulate this year, which is in addition to the $40 million of savings we captured last year. Further, we expect to achieve our targeted $1.1 billion of baseline SG&A in 2019, a year ahead of schedule. We also continue to improve efficiency of our industrial operations with $65 million delivered so far this year towards our full year target of $80 million, and there's more to come. This is a result of the commitment and hard work of all our colleagues to make Bunge even better and more competitive; a quest that will continue beyond achieving our initial goal. With that, I will now turn it over to Thom for more detail on the financials and our outlook.
Thomas Michael Boehlert - Bunge Ltd.: Thank you, Soren, and good morning, everybody. Let's turn to the earnings highlights on slide 4. Reported third quarter earnings per share from continuing operations were $2.39 compared to earnings per share of $0.59 in the third quarter of 2017. Adjusted earnings per share were $2.52 in the third quarter versus $0.75 in the prior year. Pre-tax notable charges totaled $38 million in the quarter, primarily related to the Global Competitiveness Program, the early extinguishment of debt, and the disposition of an equity investment. Pre-tax results also included the positive impact of approximately $155 million of new mark-to-market gains on our forward soy crush commitments, reflecting lower soy crush margins in some regions going forward. Total segment EBIT in the quarter was $535 million versus $175 million in the prior quarter. On an adjusted basis, segment EBIT was $573 million. Excluding the new mark-to-market impact on soy crush commitments, adjusted EBIT would have been $418 million. Agribusiness adjusted results increased significantly in the third quarter with adjusted EBIT of $485 million compared to $127 million in the third quarter of 2017, with improvements both in Oilseeds and Grains. In Oilseeds, soy crush margins improved in all regions compared to last year, driven by the combination of strong soymeal demand, lower crush rates in Argentina, due to the drought, lower U.S. soybean prices as Chinese tariffs came into effect and the deliberate actions we took in the second quarter to build soybean inventory in Brazil to secure attractive margins for our Brazilian and Chinese crushing operations. Strong soy crush margins moderated during the quarter in some regions, resulting in positive new mark-to-market of approximately $155 million at the end of the third quarter related to crush capacity commitments beyond the third quarter. This amount will reverse in future periods negatively impacting results. We began the third quarter with negative mark-to-market of $185 million, approximately $120 million of which reversed and benefited the third quarter, leaving approximately $65 million to reverse and benefit future periods. So between the new mark-to-market and the remainder of the mark-to-market carried in from the second quarter, a net positive $90 million mark-to-market is being carried out of the third quarter. Approximately $50 million of this is expected to reverse in the fourth quarter, negatively affecting earnings. This is embedded in our outlook. In Grains, higher results in the quarter were driven by improved origination results in Brazil, which benefited from increased farmer commercialization as local soybean prices rose from the combination of currency devaluation and strong export demand. Origination results in North America were higher than last year, but did not materially contribute to the overall results, and results in ocean freight were higher than last year. Food & Ingredients adjusted EBIT was $62 million compared to $64 million in the third quarter of 2017. Edible Oils adjusted results of $32 million were $6 million lower than last year. This is an increase compared to the last quarter's adjusted result of $19 million, but below our expectations. Retail package oil margins in Brazil have been under pressure as this year's strong soy crush environment has produced abundant supplies. As crush margins have now dropped in Brazil due to tightening bean supplies, crushing operations are slowing. This is reducing the supply of soybean oil and packaged oil margins are improving as a result, which we expect to continue into next year. The oversupply of oil in North America, which has also been pressuring refined oil margins is also starting to show improvement. Edible Oil results were also negatively impacted by a $10 million item relating to the Loders raw material supply contract revaluation that Soren mentioned, which will largely reverse in future quarters as sales contracts are executed. Milling adjusted results of $30 million increased by $4 million as compared to the third quarter of last year. Brazil is the biggest driver of the improvement, where better margins reflected a smaller domestic wheat crop and volumes increased on share gains. In North America, milling results in both the U.S. and Mexico were similar to last year. Sugar & Bioenergy, quarterly adjusted EBIT was $3 million compared to $8 million in the prior quarter. Lower earnings in the quarter were primarily driven by our sugarcane milling operation, which was significantly impacted along with the rest of the industry in Brazil by drought conditions which persisted through August followed by heavy rains toward the end of the quarter. This negatively impacted the volume of cane harvested and crushed and increased unit costs. In the third quarter, we crushed 7.4 million tons of sugarcane, which was 1 million tons less than last year. Sugar trading & distribution incurred a $5 million loss related to exiting the international business, which was completed during the quarter. Fertilizer quarterly adjusted EBIT was $23 million compared to $5 million in the prior year. Higher results in the quarter were driven by our Argentine operation, which benefited from higher prices and volumes as well as lower costs related to prior restructuring actions. Additionally third quarter results included a $7 million recovery of foreign exchange losses from the second quarter; an additional $6 million recovery is expected in the fourth quarter. Our tax expense for the nine-month period was $106 million which included a $15 million tax benefit related to a favorable resolution of an uncertain tax position in North America. Let's turn to slide 5. Our trailing 12-month adjusted funds from operations were approximately $1.1 billion, which was higher than at the end of 2017 primarily due to higher earnings. Based on our fourth quarter outlook, we expect this metric to improve further for the full year. Let's turn to slide 6 and our capital allocation process. Our top priorities are to maintain both a BBB credit rating as well as access to committed liquidity, sufficient to comfortably support our Agribusiness flows. We are rated BBB by all three rating agencies, and we had $4.1 billion of undrawn available committed credit and $267 million of cash at the end of the third quarter. Within that capital structure and liquidity framework, we allocate capital to CapEx, portfolio optimization and shareholders in a manner that provides the most long-term value to shareholders. We have continued to maintain strict discipline in CapEx spending, investing $318 million in CapEx in the nine-month period as compared to $485 million in the prior period. We've invested $968 million in acquisitions, the most significant of which was the acquisition of Loders Croklaan and we paid $225 million in dividends to our shareholders. Debt has increased since the beginning of the year as a result of an increase in working capital, primarily inventory and acquisitions, primarily Loders. We expect the combination of a seasonal reduction in inventories and a strong finish to the year will result in a trailing 12-month adjusted debt-to-EBITDA ratio in the range of 3 times by the end of the year. Let's turn to slide 7 and our return on invested capital. Our trailing four-quarter average return on invested capital was 5.7% overall and 6.8% for our core Agri and Foods businesses. We expect the combined Agri and Foods business to earn a return exceeding our cost of capital for the full year. Our goal is to earn 2 percentage points above our cost of capital for those segments. Let's turn to slide 8 and the Competitiveness Program. We expect to significantly exceed the original 2018 target of the program, which is focused on reducing our cost base and simplifying our organizational structure to drive efficiency, enhancing our ability to scale the company, and realizing significant additional value from our global platform. When we announced the program a year ago, our goal was to achieve a reduction in costs of $250 million in 2020 as compared to our 2017 addressable baseline of $1.35 billion. Initially, we expected cumulative savings of $100 million this year and $180 million in 2019. Based on progress to date, we're increasing our 2018 target by an additional $25 million, bringing the total cumulative savings for the year to $175 million. The improvement comes from our ability to meet or stretch indirect spend targets, as well as maintain momentum in organizational efficiency. The cost reduction is roughly split between indirect spend and employee costs. Compared to the nine-month period in 2017, addressable SG&A was $115 million lower on an apples-to-apples basis. In addition, we've increased the 2019 cumulative target by $70 million to $250 million, achieving our original goal one year early. With this program becoming embedded in the company, we expect to achieve additional savings beyond these levels as we look beyond 2019. Let's turn to the 2018 outlook on page 9. In Agribusiness we expect our full year EBIT results to be in the upper half of the $800 million to $1 billion range with fourth quarter results driven by our Northern Hemisphere operations. In Food & Ingredients, we're reducing our full year EBIT outlook to $250 million to $270 million, reflecting a weaker than expected third quarter and the slower than originally anticipated margin recovery in Brazil Edible Oils. Milling should continue to benefit from higher margins in Brazil due to a smaller local wheat crop. Turning to slide 10, in Sugar & Bioenergy, we're adjusting our full year EBIT outlook range from breakeven to a loss of between $20 million and $40 million. This is the result of an expected reduction in cane crush volumes of over a million tons, as compared to our last estimate reflecting the effect of the drought in Brazil. We now expect our milling operations to be around breakeven for the full year. The range also incorporates a year-to-date loss of approximately $25 million in trading & distribution. We expect full-year fertilizer EBIT to be approximately $35 million, an increase from our previous target of $25 million driven by higher volume and better – and a better pricing environment, and we now expect CapEx to total approximately $600 million, a $50 million reduction from our previous estimate of $650 million reflecting discipline in capital allocation. We expect net interest expense to be in the range of $310 million to $315 million, an increase from our earlier range of $270 million to $285 million due to higher levels of inventory and higher interest rates. And we expect our full year effective tax rate to be at the upper end of the 18% to 22% range based on the mix of earnings. I'll now turn the call back over to Soren.
Soren W. Schroder - Bunge Ltd.: We are on track for a very good year, and 2019 looks promising with good fundamentals in soy and soft seed crush, strong demand in growth and trade, a big step up from Bunge Loders Croklaan, as well as solid performance in milling. Over the last year, we have exited several small loss-making businesses; this will improve profitability and allow us to focus on our core activities that includes delivering the remaining parts of the Global Competitiveness Program and looking for more ways to improve our competitive position. Global trade will remain highly influenced by politics, but we're in a good position to navigate a dynamic environment. Bunge is the leader in crush and B2B oils, a regional Americas leader in milling and a major player in global agricultural trade and distribution. We have invested behind our strategy in crush, oils and milling and we have a well-balanced footprint to source global trade. Our industry has become more competitive, which means we have to find new sources of efficiency and growth. We have embraced that challenge, and feel we are well on our way with a Global Competitiveness Program as well as building new capabilities around our crush, oils, milling and distribution businesses, which will provide earnings growth into the future. We've always been open to ways to unlock value for our shareholders and customers, and we are therefore pleased to welcome three new directors to the Bunge Board as announced this morning. Each of them has extensive experience relevant to our business which can help us navigate successfully through the changing environment and ensure we maintain our leadership position. Also as announced, a special committee, the board has been formed which will review current programs and approaches, strategic alternatives and help us make the most of this strong platform we built over the years. As we have celebrated our 200th anniversary this year, it's been wonderful to see and feel the commitment and pride of our global colleagues. Their support of the important changes we are making and their excitement of what lies ahead is impressive and it is much appreciated. With that, we will turn the call over to the operator and to your questions.
Operator: We will now begin the question-and-answer session. And our first question comes from Vincent Andrews with Morgan Stanley. Please go ahead with your question.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thank you, and good morning, everyone.
Soren W. Schroder - Bunge Ltd.: Good morning, Vince.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Maybe you could just help us on the Agribusiness piece, just sort of what's changed in the guidance. Gotten a little confusion over how much you've increased it by or if it's been decreased, so if you could clarify that in Agribusiness. And just sort of what you're seeing in the crush margins in different parts of your business, what's getting better, what's getting worse? Thank you.
Soren W. Schroder - Bunge Ltd.: Okay. Well, essentially the range in Agribusiness is unchanged. We're talking about the upper half of the $800 million to $1 billion range. And it should be supported by a strong fourth quarter where we have most of our margins locked in. The one thing that is a little bit uncertain is the extent to which grain origination will be a contributor in the fourth quarter. We have very little dialed in for that at this moment, reflecting the fact that in the U.S., farmers are very reluctant sellers of both soybeans and corn. And in Brazil with a stronger real and the lower futures prices, very little new crop origination is actually being transacted as we speak. So, relatively modest expectations for grain origination going forward, that could be an upside. A good quarter in crush where we have most of the margins locked up, and that's really – that's really it. So we're not really changing our guidance to any extent here. It's going to be a great year in Agribusiness. It was obviously a very good quarter and we think we can – we can continue that into next year as well.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. That's helpful. If I could ask on the interest expense, I guess a couple things about it. One, I was just sort of surprised that it could come up so much in such a short period of time versus your prior expectations, so just help us understand what changed? And then also should we be thinking about this interest expense as sort of associated with Agribusiness and that is it – is it a function of the soy inventory you're holding as part of the hedge program or is it just – or is it something else?
Thomas Michael Boehlert - Bunge Ltd.: Good morning. Yeah. The change in interest is primarily driven by inventories, and particularly the agri part of inventories. There's also a small piece which relates to higher interest rates in a number of jurisdictions where we fund our balance sheet locally. But the primary one is inventories. Inventories were higher than we had anticipated at the end of the quarter and during the quarter. Soren mentioned looking forward, origination is a reasonable outlook but during the third quarter there were opportunities to build inventories with a devaluation in Brazil, which caused farmers selling particularly new crop corn. And in the Northern Hemisphere, we did build inventories particularly in soft seeds as we get ready to – for our campaign crushing soft seeds in Europe as well as some inventory build in North America given the economics of carries and potential export. So, it is a – I'd say it's a temporary situation. We expect inventory to come down by $1 billion or more by the end of the year.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Right.
Thomas Michael Boehlert - Bunge Ltd.: And as we head into next year, we would expect our working capital levels to be lower on average than they have been this year. It's just been – with the dynamics in the market, there have been opportunities to carry inventory this year. So, I would say we'll certainly be below $300 million going forward on interest expense and we'll look to start bringing that down by the end of this year and into next year.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Great.
Soren W. Schroder - Bunge Ltd.: Yeah. I think just to follow-up on that, the fact that our footprint is such that we have significant crush operations in Brazil and in China led to this significant and somewhat unusual build-up of big soybean inventories in Brazil at the end of this second quarter. That was one of the big drivers of the Q2, and that is, I will say, unlikely to repeat itself. It's turned out to be the right thing, but as Thom said, it is not structural.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thank you very much. That was very helpful.
Operator: And our next question comes from Ann Duignan from JPMorgan. Please go ahead with your question.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning.
Soren W. Schroder - Bunge Ltd.: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Actually Soren, just building on that comment exactly. If the tariffs remain in place, why wouldn't we just see a repeat of this year again in 2019? If you could just walk us through a scenario where the tariffs remain in place through the spring of next year and the impact that would have on your business in 2019.
Soren W. Schroder - Bunge Ltd.: Well, I mean, it is true that if there is no normalization of trade relations, chances are that we would – we would probably build up bean inventory again in Brazil. But the extent to which we would be able to do it is totally dependent upon the combination of futures, prices, basis and foreign exchange when we get there. This year, we had an opportunity to get ahead of this in a significant way and we accumulated during the second quarter a lot more grain because the farmers were willing sellers than we – than we normally would have been able to. So it all depends on how it flows. But it is true that if there is no resolution, you know we will be in a situation where a lot more of our business will be directed out of South America, and we will have to find ways in which we can protect our crush. At the moment, crush margins for new crop in Brazil are still reasonable. So we would initially accumulate beans for crush. But as we've also said with a stronger real that we have at the moment, there is very little new selling going on. So as a matter of tendency you are right, but I don't expect it'll be anywhere near the level of inventory that we – we carry this year. And I would say that the way prices are looking, and the outlook for prices given the significant build-up of inventory that we're expecting in – in the Northern Hemisphere, the prices at which we would be accumulating inventory would be significantly below this past year's by probably I don't know 10%, 15% maybe 20%. So the combination of that I think should still get us in the position where the amount of inventory working capital that we would use next year, even if a trade resolution is not found will be lower than it has been.
Ann P. Duignan - JPMorgan Securities LLC: Yeah, that's a fair point Soren that prices are much lower. And then as a follow on to that, could you just talk about the fundamentals in China, given all the noise we've heard over there about lowering protein mix and Asian flu and all et cetera, et cetera? Like what are your expectations for the demand in China – for crush margins in China? Thank you.
Soren W. Schroder - Bunge Ltd.: Crush margins are still reasonable above cost at least based on Brazilian soybeans. Demand I think is in a state of transition, so to speak. I think if you look at next year or this coming crop year, we would expect soybean meal demand in China to set back a bit. How much is impossible to say at this point. The Chinese authorities have issued a new low or minimum requirement for soybean meal inclusion, but that doesn't mean you can't use more. So, at the end of the day, it will probably still be prices that dictate how feed formulation is made, and we expect demand to maintain itself. But somehow, we certainly expect that the growth we've seen in the last couple of years and underlying soybean meal demand and off-take in China will be parsed for at least a season, and then we'll see beyond that. So, our expectation of imports into China would actually be a small reduction from last year. And based on that it appears that they can – they can wiggle through into the new crop supplies in Brazil and with a large crop in both Argentina and Brazil, can probably supply themselves fully without having to return to the U.S. in case there is no resolution to the trade situation.
Ann P. Duignan - JPMorgan Securities LLC: And a quick follow-up on that Soren, because all that leads to then what gets planted in the U.S. next spring, could you just quickly give us your thoughts on that and I'll leave it there? Thank you.
Soren W. Schroder - Bunge Ltd.: Yeah. I think it's a very wide range at the moment, but it's obviously a lot less soybeans and more corn, maybe a small loss of total base between the two. But given current prices, you would expect a fairly significant shift out of corn into beans. We are building significant soybean inventories in the U.S. this crop year that seems almost unavoidable even if a trade resolution was had soon, we would still have a significant build-up in soybean ending stocks. So prices would suggest a significant shift to corn, whether that's 5 million or 10 million acres, I don't know. But it's probably a shift of some kind of historic magnitude that we'll be seeing when we get there. But there's a long time until March.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I appreciate the color. I'll get back in line in the interest of time. Thank you.
Soren W. Schroder - Bunge Ltd.: Okay..
Operator: And our next question comes from Adam Samuelson with Goldman Sachs. Please go ahead with your question.
Adam Samuelson - Goldman Sachs & Co. LLC: Yes. Thanks. Good morning, everyone. I guess I wanted to start a little bit high level Soren, thinking about the outlook for crush as we move into 2019, maybe some color by geography. And we had a very robust kind of peak as you got into the spring and summer this year and as we think about lapping that, is it possible for the Oilseeds line to grow profit wise year-on-year in 2019 given the state of the world today, and if so, what would be the drivers?
Soren W. Schroder - Bunge Ltd.: Yeah. I mean, we do expect a good crushing environment also next year but the composition will probably be a little bit different and the timing will be also, in the case of soy, we still have very, very, very good margins by historical standards at least through the first quarter and probably two quarters of next year in the case of U.S. and Europe, it is possible to secure some of that. And we're doing that to the extent that we can and the market gives us liquidity. Then the second half of the year is a question mark with assuming a normalization of crops in South America. But overall, we expect a favorable soy crushing environment. U.S. should remain strong, strong domestic off-take of soybean meal; the animals are there, so demand should be solid. The second half of the year is where the question mark comes. But we have pretty good visibility until the middle of next year in soy. Overall, I'd say, we should expect probably a bit of a setback in gross margins in soy across all the geographies. But we do expect that we will have an opposite phenomenon in soft seeds. We've got very good crushing margins in the sun seeds at the moment in pretty much all of Europe. And in the Black Sea, demand for soft oils and biodiesel in Europe is on the up, and we expect that the industry will have to run at fairly high rates of utilization to supply oil for that. So we have a positive view on soft seed crushing margins next year that should offset any decline in soy. So on balance, I think we look at next year as being another good year in oil seeds and in crushing. And we'll be able to secure some of that and we're doing what we can to lock up margins into the first half of next year.
Adam Samuelson - Goldman Sachs & Co. LLC: Okay. And that's helpful color. And then a question, maybe it's for Thom, just as we think about where leverage will shake out by the end of the fourth quarter if you get the inventory reduction as you expect and the trailing 12-month EBITDA improves based on your guidance. Can you help us think about kind of the appetite for repurchases and buybacks as we move into next year, and just what would be the kind of obstacles to doing that in a bigger size given where the stock price is?
Thomas Michael Boehlert - Bunge Ltd.: Sure. We do expect debt to come down by the end of the year, just following the inventory reductions. Our debt is roughly equal to our working capital, and so it moves around consistent with that. Looking forward, we, I think our number one priority is to ensure that we have a strong BBB credit rating. And so we will certainly work through the end of the year and make sure that we secure that headed – headed into next year with – supported by both the results from this year and a strong outlook going into next year. And then in terms of capital, we've been – we've been very disciplined in terms of M&A, in terms of CapEx, and obviously the Competitiveness Program, its generating cash flow and I look at that as- as capital as well to some extent. So we've been paring back our capital investment other than the Loders acquisition obviously that we funded in the first quarter to put ourselves in a position where we can consider the best opportunities to deploy capital once we've secured our rating. So heading into next year, I think our – I think our M&A discipline will remain in place. You know we will only – we only look at things that are very, very strategic for us and we do have a bias and a priority to begin our buyback program again. And so we would look to consider doing that as soon as we get through the end of the year and are able to kind of solidify our credit ratings. But it is at the top of our list from a capital allocation perspective.
Adam Samuelson - Goldman Sachs & Co. LLC: Great. I appreciate the color. I'll pass it on. Thanks.
Operator: And our next question comes from Heather Jones with Vertical Group. Please go ahead with your question.
Heather Jones - The Vertical Trading Group LLC: Good morning, and thank you.
Soren W. Schroder - Bunge Ltd.: Good morning, Heather.
Heather Jones - The Vertical Trading Group LLC: I have a quick clarification on – first on 2018. So you mentioned that your Agribusiness estimate – guidance hadn't changed but if we take the different changes in F&I and Sugar and Fertilizer, and just using the midpoint of those changes, it implies that Agribusiness is down, call it, $35 million to $45 million as far as your guidance. And you mentioned the uncertainty related to Q4 in Grains, but it seems like Q3 came in meaningfully better than expected. So, is – am I, one, doing my math wrong as far as the implications for your full year Agribusiness guide and if I'm not wrong, what drove that?
Soren W. Schroder - Bunge Ltd.: Well, I would say the range is pretty wide at this point for Q4 in Agribusiness. And if you take the midpoint on the ranges, you end up more or less what you said. I think overall, we don't really feel that Agribusiness is significantly different than it was. If anything maybe a slight – a slight reduction in how soy will come in for the year simply because we crushed a little bit less in the third quarter, we crushed about 500,000 tons less than we expected for good commercial reasons, whether we can catch up on that in the fourth quarter remains to be seen. So maybe a slight off in soy, but as we also said, the amount of grain profit we have dialed in for the fourth quarter is very modest and it can change very, very quickly. At this point, October has been – October has been slim pickings, so to speak, in North America as well as Brazil but in Brazil this can change literally overnight. So I hesitate to say that we are going down, although the ranges might suggest it. I would rather say that the range is – is wide and that it can quickly turn positive if we have a – if we have a grain quarter in the fourth quarter as we had it in Q3, we will come out better for sure. And you know most of the activity in the third quarter, and Grain came within a two week period. So it can just change very quickly. And so hesitant to perhaps nail a number rather paint a fairly wide range, but we do know and have good visibility on of course is our crushing operations as we – as we described it. And so Oilseeds will be very solid for the year, above $700 million, then the question really is grain. So I know it doesn't answer your question perfectly, but that's – that's how we look at it. It's going to be a great year, it's going to be a good strong quarter in Agribusiness, just how good really is a function of the pace of grain origination. And I think at this point, it's really more about Brazil than it is about North America. Farmers in North America seem to be very stubborn holders of their record crop. And in Brazil, the farmer is fairly undersold relative to historicals. So you know any – any break in the currency or any movement up in futures, I think will be met with – with selling. So I mean that's really – that's where we are.
Heather Jones - The Vertical Trading Group LLC: Okay. And a clarification on your comment on China as soybean meal demand, did you – were you implying or saying that there is going to be a slowdown in their soybean demand growth or you actually expect their soybean meal demand to be down in 2019 versus 2018?
Soren W. Schroder - Bunge Ltd.: I think, soybean imports are likely to be down in the coming crop cycle. Whether or not soybean meal demand is down, I think it's too early to tell. I don't think we expect it to grow much. They have reserve stocks they can release; they will drawdown inventories for sure. So I think, we are pretty confident that the soybean import number will be lower. Whether that translates into an absolute reduction in soybean meal usage, I think it's too early to tell. But I – but you can tell from all the various sources of import whether it is a new regulation, a minimum inclusion of soybean meal to – there's chatter in the industry that there is a – there is an overall effort in trying to reduce the dependency on soybean meal, although of course, China will still remain a significant importer of protein, is 90 million tons. So, you can't go away with it in any way it's really under margin. But I think it wouldn't surprise me if implied soybean meal use this coming year in China, if the trade war or the trade conflict isn't resolved will be flat to down. It wouldn't surprise me. I'm pretty sure about soybean imports, meal stay tuned.
Heather Jones - The Vertical Trading Group LLC: And when I'm thinking – and when we're thinking about soy crush for 2019, do you expect the meal oil contribution to stay roughly equal to in 2018, or could we see the contribution for the meal side come down a little bit but oil go up because of higher mandates around the world including in Brazil? How are you guys thinking about that?
Soren W. Schroder - Bunge Ltd.: Yeah. As a matter of tendency, I think you're right. Once we get let's say through the first quarter, I mean we still expect that between now and the end of the first quarter there will be – there will be quite some tightness developing in soybean meal. It's coming a little later than we had anticipated it, but there still needs to be some rationing before we enter the South American new crop supplies in style. Looking beyond that, so maybe let's say the second half of 2019, the tendency is probably for stronger relative oil demand which is supportive of soft seed crush, driven by fairly sizable increases in mandates both in Southeast Asia and palm. In Brazil, there was another – there was an announcement out I think yesterday or the day before of a fairly sizable increase in inclusion in biodiesel through 2023 step up. So more of the same that we've seen, I think even in the U.S. and certainly in Europe. So the tendency would be second half of the year more towards oil than to protein.
Heather Jones - The Vertical Trading Group LLC: Okay. Perfect. Thank you so much.
Soren W. Schroder - Bunge Ltd.: All right.
Operator: And our next question comes from David Driscoll with Citi. Please go ahead with your question.
David Driscoll - Citi Research: Thank you, and good morning.
Soren W. Schroder - Bunge Ltd.: Hey, David.
Thomas Michael Boehlert - Bunge Ltd.: Good morning, David.
David Driscoll - Citi Research: Just to make sure, guys, in fourth quarter it's a $50 million reversal in the mark-to-market gains that we have, like there's a lot of different pieces of this, but it all netted to $50 million and that comes out in Q4, is that right?
Soren W. Schroder - Bunge Ltd.: Yeah. That's right. It will be a negative impact on Q4.
David Driscoll - Citi Research: Okay. And maybe, Soren, from my point of view, I'm just kind of doing the same math Heather was doing, and I know we're all trying to be so precise here and this Agribusiness business segment is incredibly volatile, but it seemed like that was almost what you're trying to call out, when I read the EBIT at $1.2 billion in today's press release, and last press release it was $1.3 billion, $35 million on interest expense. I mean, pretty simple math, $135 million negative change to the guidance at the EBT level. So it looks like there is something in there from Agribusiness. But I think what you're trying to tell us qualitatively is, be careful getting too specific on the numbers because Agribusiness can move around a lot, and then you guys are trying to call out this $50 million reversal of the gain. Would you agree with my summation?
Soren W. Schroder - Bunge Ltd.: Yeah, I think what I'm trying to say is that even though we're through the first quarter of – first month through the last quarter things can change very quickly, particularly in grain origination which is where we have, we have the upside in my opinion. Crush both in soft seeds and in soy is more or less locked up for the year. We have good visibility to that, and it can change very quickly. Dynamics in our markets as you know are significant. And so you could certainly paint the range as being higher than what I suggested. I'm just saying don't try to be too specific, this early, things can change very quickly. We've got very little, very little included from grain origination in the guidance that we've given. So that's the upside really.
David Driscoll - Citi Research: Okay. And then on the – on China-U.S. trade, you answered a bit about this, but I'm still slightly confused.
Soren W. Schroder - Bunge Ltd.: Okay.
David Driscoll - Citi Research: If we get a resolution, and let's say it's going to affect the second half of 2019, just to pick something out there, I don't – obviously it's a little arbitrary what I just said, but bottom line is a resolution of U.S.-China trade, is this positive for Bunge or is this a negative for Bunge?
Soren W. Schroder - Bunge Ltd.: I would – I think it is neutral. I wouldn't call it either way because it depends so much on exactly when it happens and under what circumstances it happens. You know, for example, has the Brazilian farmer sold a lot of beans before it happens or has the Chinese crusher bought a lot of beans before the Brazilian farmer sells and then it happens. It is – there are so many combinations of how this could turn out that it's impossible to put a – put an absolute direction on it. I think what I – what I feel very comfortable saying is that we are in a damn good place – place to – to react to and to profit from either event. We have a very strong, as you know, very strong position in Brazil that played out well for us this year. We have a very strong position in crush in North America and Europe that has also played out. I think in either situation, we will be able to navigate, we will be able to navigate well, but I hesitate to call it positive or negative this far in advance. You know I think we played it well this year, that came through in the third quarter, believe it will come through in the fourth quarter as well. But exactly how this plays out in 2019, I don't want to try and handicap it for – from an earnings perspective. 2019 should be a good year under – under any – any of these scenarios.
David Driscoll - Citi Research: And then, Soren, just one – one kind of comment pushback on my part. You gave like maybe a 2019 comment; maybe I'm even thinking longer term than that. You know back in 2014 you spent a lot of time at that Analyst Day talking about the supply curves and soy crush and capacity, oilseed crush capacity and the demand side...
Soren W. Schroder - Bunge Ltd.: Yeah.
David Driscoll - Citi Research: ...a deal with China would seemingly increase the demand backed again on a – on a trajectory of growth, and then this thing would kind of come to me back to that slide you put up back in 2014 about where those – the oilseed crush capacity and the crush demand. For me, longer term a deal U.S.-China is a positive. You're not saying that, so I'm curious, if you don't agree that that would be a positive to global oilseed crushing and utilization rates?
Soren W. Schroder - Bunge Ltd.: What I do agree on is that a trade resolution is positive for the industry. It is not healthy to have the type of environment we have now. You can see how it is skewing inventory build in certain regions and its putting pressure on prices and creating abnormal basis levels. It is sending strange signals to farmers to get out of seeds into corn. So we believe that for global growth and trade and underlying protein demand, a resolution is a good thing for everybody. And so, that's what we would like to see. Long, long-term that would be better for us than the current scenario, which I look at as being relatively short-term. I don't think this is a permanent situation, as long as it is; we'll have to navigate through it smartly as we have been. But in the long run, a resolution is good for the industry and it's good for Bunge. We know that the underlying demand for soybean meal outside of China continues to grow. It will also grow in China for sure, but let's look at the origins, U.S. and Argentina, Brazil also in Europe. Underlying soybean meal demand continues to grow at the rates that we have – that we have predicted, between 5 million and 6 million tons a year. And there is less new capacity coming on stream than that on a yearly basis. So our – call it thesis or investment criteria for soy crush are very much intact. I mean repeated it (50:52) also in 2016. That as we – as we get into the next couple of years, the total amount of origin crush capacity will start getting to that 85%, 90% level and that means that while crush margins might set back a little bit from this past year, they should still remain at levels where you know we eventually encourage expansion and you know that's probably sometime you know a year or two out in the U.S. we've already seen a couple of brownfields being announced but two or three years out, Brazil and Argentina should also be in a position where expansions should take place. And so those fundamentals are very much intact. And I think trade conflicts and shifts in trade flows in the interim are distorting, but it doesn't change the long-term outlook. We are very confident of that, and again we hope that there will be a resolution sooner rather than later to this and I suspect there will be. The imbalances are getting too big and I think it will become even more evident as we get towards the end of the year and into next year, just what this means for U.S. – for U.S. soybean stocks. It's a massive build-up. So I hope that there will be – reason will prevail and that we will find a way to get back to normal terms, which is better for the industry overall and for us, but the underlying fundamentals in crush are still very much there.
David Driscoll - Citi Research: If it's okay, I'd like to speak one last one in on the – you threw in a comment, to be honest with you, at the very end of your script about a strategic, some strategic actions and of course, there's the new board directors but it was too brief for me. Is the company for sale or are you just looking to sell certain assets? This seems really important, Soren, could you just elaborate a little bit?
Soren W. Schroder - Bunge Ltd.: Well, what's been announced is a strategic review committee of the board, which will consist of three existing board members, and the three new ones, which were announced this morning. The combination of those six people is a powerful combination of talent and experience. I mean, we – as I mentioned in my script, we welcome those three new board members. They all have fantastic insight in agribusiness and commodities in general. And combined with our existing board and the three that are now going on that committee, they will have a fresh look at everything we're doing from our ongoing programs to anything else. I don't want to handicap it. I know that there is no preconceived conclusion to this. There is a sense that we need to take a step back and look at everything we've done. I'm absolutely convinced we've done many things very right. Is it possible that we'll come up with some new ideas? For sure. It will be arrogant to assume that we thought of everything, and that's what this is about. But it's not about one specific action or direction and I don't really want to get ahead of the committee more than – more than that, but that's – that's where we're at.
David Driscoll - Citi Research: Thank you. I'll pass it along.
Operator: And our next question comes from Robert Moskow with Credit Suisse. Please go ahead with your question.
Robert Moskow - Credit Suisse Securities (USA) LLC: Hi. Thanks. Soren, I guess mine is a follow up to David's question about the strategic review. Do these three new members come with any preconceived notions of their own as to what Bunge needs to do to create shareholder value? And maybe you can't really comment on that directly, but you've added them to the board, they were considered by many of us to be activist in nature. Can you talk a little bit about whether your discussions with them have been highly constructive leading up to this decision or not? And then secondly, how long will this review take, when do you expect to have a conclusion from it? Thanks.
Soren W. Schroder - Bunge Ltd.: Well, that's a lot of questions. You know in terms of their individual perspectives, you have to ask them. From my perspective, there is no preconceived conclusion or idea. They believe, as we do, that they can add a lot to the deliberation of the board and to myself, and they are coming on top of some pretty significant port renewal that we've had going on for a while. Mark and Vinita have joined this year, also two people with deep industry experience in agribusiness and in food respectively. So, we think we're putting together a board here that really – that really gets the industry and with a good dynamic should be able to help us eventually explore areas that we haven't so far or accelerate what we're already doing. So beyond that, I don't really want to get ahead of it. There's also no deadline for a particular report out, this is going to be ongoing, I don't think it's unusual that a board decides to have a particular group of it focus on performance, strategic alternatives as I mentioned especially given the dynamic environment that we've been living through the last two or three years. It's coming on the back of a very good year, and outlook for more. But we all feel that we can do better and we know that shareholder expectations are higher than what we're delivering this year even, although it is a good year by historical standards. So we are all anxious to get in a better place. And we look forward to this cooperation. And I look at it as a very positive thing.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. Good. Can I ask a follow-up? Heading into next year, I guess people have been asking how to shape it. You've made some cautious comments about the gain part of the portfolio. Also in crush margins, I mean, most of us saw these crush margins in 2018 and now they are starting to fall again. I mean, can we – can we assume that crush margins can be somewhat similar in 2018 or should we follow these – the direction of the spot margins and assume that you'll have you know still a good year, but maybe not as great as it was in 2018?
Soren W. Schroder - Bunge Ltd.: Yeah. I think in soy crush, you are – you're absolutely right. It's difficult to imagine that we will have the same level of peak margins as we had – as we had this year and on average we are expecting them to be slightly lower between all the different geographies in which we operate. But I also think that we have some upside in our soft seed crush related to the strong demand for oil that I think we'll feel particularly in the second half of 2019. So overall, this should be a very good Oilseed year again next year. Some of the margins in soy are hedgeable and we're doing what we can to secure those. Some of them are not. But you know for a good part of our footprint, we – we can – we can secure some of this upfront. So, it's going to be a good year in crush next year, but a different mix – different mix between soy and soft seeds, but overall a good year.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. And then – and then, moving into Edible Oils, I guess the thesis here is that the excess supplies in the market, particularly in Brazil are going to work through and...
Soren W. Schroder - Bunge Ltd.: Yes.
Robert Moskow - Credit Suisse Securities (USA) LLC: ...that will help your pricing for Edible Oils. And then for Loders...
Soren W. Schroder - Bunge Ltd.: Yeah. Typically....
Robert Moskow - Credit Suisse Securities (USA) LLC: ...yeah. Go ahead.
Soren W. Schroder - Bunge Ltd.: No. No. You go ahead. Sorry I cut you off.
Robert Moskow - Credit Suisse Securities (USA) LLC: Oh. I get to go. Okay. For Loders, you have some supply contracts that are working through and those – when those expire, you'll have better costs into 2019 for Loders?
Soren W. Schroder - Bunge Ltd.: Yeah. So, the last one first, is very – is kind of straightforward. We mark-to-market our purchases of palm. Basically our inventory and our pipeline gets mark-to-market and prices have come down over the last 60 to 90 days but we don't mark-to-market the sales contracts that we have for finished product. So it means, as we process this palm oil, it will be at higher margins than were initially calculated. So I hope that's clear. So we mark-to-market one side but not the other. That's the accounting convention for that.
Robert Moskow - Credit Suisse Securities (USA) LLC: Like...
Soren W. Schroder - Bunge Ltd.: And on the...
Robert Moskow - Credit Suisse Securities (USA) LLC: Like...
Soren W. Schroder - Bunge Ltd.: Yeah. Go ahead.
Robert Moskow - Credit Suisse Securities (USA) LLC: Go ahead. All right. I'll go ahead. I mean, it does beg the question though, I mean, does Loders just operate with this mismatch just going forward...
Soren W. Schroder - Bunge Ltd.: Yeah.
Robert Moskow - Credit Suisse Securities (USA) LLC: ...between cost and price and how volatile it can be.
Soren W. Schroder - Bunge Ltd.: Yeah. I mean, that's – well, Thom you can talk to the accounting standards conventions on this but that's how they operate and have operated. Thom?
Thomas Michael Boehlert - Bunge Ltd.: That's right. That's how they operate and have operated. We are exploring other potential ways to handle it going forward. But for the moment, we'll continue to have that little mismatch.
Soren W. Schroder - Bunge Ltd.: Yeah. I mean, there's been a fairly significant move in palm oil prices over the last quarter. So this is probably as big as it gets I would think. And of course, it can quickly go the other way too. And as we have – as we've been I think fairly transparent about in mark-to-market on our soy crush, this is a similar type of thing that we just have to call out whenever it happens. And it is the reason why Loders in the third quarter didn't really contribute what we had expected. But it's completely understandable and it will flow into the P&Ls now going forward. But it's a mismatch in timing, so to speak, on how you mark the different pieces of the business. And on the first question, you asked about the tightening oil supply in South America. Yeah, I mean, there's typically a very strong correlation between retail long (1:00:40) margins under a tight oil scenario and one where you have access. As we've been through a fairly sort of loose oil stock situation most of the year really starting out this year and it is now beginning to change and judging by historicals that will carry through probably into the first quarter. The first quarter of 2017 for example was very strong for us in Brazil because we had tight oil supplies. And so it is only when the Brazilian crush industry gets up to speed with new crop supplies of beans that this reverts. But I think we feel that this will be – it is building now and it will last until at least February-March.
Robert Moskow - Credit Suisse Securities (USA) LLC: Thanks for all the questions.
Soren W. Schroder - Bunge Ltd.: Sure.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Mark Haden for any closing remarks.
Mark Haden - Bunge Ltd.: I want to thank everyone for joining us today, and we'll talk to you next quarter.